Operator: Greetings, and welcome to the Kingstone Companies' Year-End 2018 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Amanda Goldstein. Please go ahead.
Amanda Goldstein: Thank you very much, Kevin, and good morning, everyone. Yesterday afternoon, the company issued a press release detailing Kingstone's 2018 year-end results. On this call, Kingstone may make forward-looking statements regarding itself and its business. The forward-looking events and circumstances discussed on this call may not occur and could differ materially as a result of known and unknown risk factors and uncertainties effecting Kingstone. For more information please refer to the section titled Factors That May Affect Future Results and Financial Conditions in Item 7 of the company's Form 10-K for the year ended December 31, 2018, along with the commentary on the forward-looking statements at the end of the company's earnings release issued yesterday. In addition, our remarks today include references to non-GAAP measures. For a reconciliation of our non-GAAP measures to GAAP figures, please see the tables in our earnings release. With that, I'd like to turn the call over to Kingston's Chairman, Mr. Dale Thatcher. Please go ahead, Mr. Thatcher.
Dale Thatcher: Thanks, Amanda, and thank you to everyone for joining us today on our year-end conference call. It was approximately a year ago that I took the position of President here at Kingstone, so this is a good time to stop and look back at results for the year. I have to say, it was a bit choppier than I expected as financial performance lagged for the year, but I still feel that we accomplished a lot. For the year, we recorded direct written premium of $146.7 million up almost 21%. We had our strongest growth in the fourth quarter, with direct written premium of $39.5 million, up 23%. Our core business, in New York, continued to show very healthy growth of 15% for the year. Expanding beyond New York, we added New Jersey and Rhode Island in 2017, and Massachusetts in 2018. We expect to add Connecticut and Maine in 2019, as well as a possible restart of Pennsylvania late in the year. Premium in our expansion states went from just under $2 million in 2017 to over $9 million in 2018. We've gotten off to our quickest start in New Jersey, which represents $7.7 million of the $9 million in expansion premium. We continue to attract high-quality agents who are looking for a quality A-rated carrier with a focus on service. We've found a particular affinity with our smaller suburban and rural agents who are often left behind by our larger competitors who demand ever increasing minimum premium volumes. Many carriers require a minimum premium of $1 million or more before an agent can quality for contingent commissions. Rural agents may not have a million dollars of premium that they are willing to give to a single carrier. That makes it difficult for them to have beneficial relationships with the big players, and forces them into the wholesale channel. Kingstone gladly takes quality business from agents with production as low as $50,000 per year. By providing our agents with a quality product and superior service in spite of their small size, we're able to build solid, loyal, and profitable relationships with our agents. We believe that profitable business comes in all sizes, and we're nimble enough and dedicated enough to take advantage of that. Our attention to servicing the small agent is building not only premium volume, but profitability way ahead of schedule. For 2018, the expansion states delivered a loss ratio of 49%, well ahead of where we thought they would perform at this point of their development, and dead even with the overall loss ratio for the company. Our combined ratio for the quarter was 96.4%, including 3.5 points of adverse development, and 0.4 points of cat losses. Overall, for the year, our combined ratio was a disappointing 94.8%. This included six points of catastrophe losses, and 1.1 points of adverse development related to unfavorable liability settlements from 2014 and '15. The industry as a whole has seen some deterioration in property losses, and we're not immune from that trend. We've taken steps to tighten certain underwriting criteria, we've increased both exterior and interior inspections, we've filed rate increases, and we've tightened restrictions on seasonal and secondary homes. Underwriting is a never ending balancing act between production and profitability where underwriting requirements are constantly adjusted to keep the trim just right. For the most part, we've been tremendously successful at balancing growth and profitability, but property trend this year ran a bit harder than we expected. We fully expect to make the necessary adjustments to continue our history of success. Now I would like to turn the call over to Barry for some commentary on our investment portfolio and an update on COSI, our general agent operations.
Barry Goldstein: Thanks, Dale. A few remarks first about our investment portfolio, during the fourth quarter, we made some changes to our fixed income portfolio by focusing on elevated level of short-term rates. And by doing so and adding investment grade credits with one- to three-year maturities, we were able to reduce our duration risk without compromising overall returns. By year-end, our overall corporate fixed income portfolio was the most conservative it's been since I began managing it 11 years. As an example, we now have less than 1% of our portfolio in bonds rated triple B- making our average corporate credit a very solid A-. But as Warren Buffet pointed out, the change to GAAP accounting brought volatilities to the company's earnings by reflecting what went on the in the equity markets. In spite of our less than 10% allocation to equities and more than half of that by the way is in preferred stock, our fourth quarter results was significantly impacted. In addition and along with the equities getting pounded in the fourth quarter, credits spread blew out far faster than treasury rates decline reducing the market value of our fixed income portfolio translating into a decline in our book value. Fortunately, thus far in 2019 we have seen our values return to pre-fourth quarter levels. I am looking forward to the end of the quarter and sharing with you the first quarter results and will do that sometime in May. As we discussed previously, Dale hit the ground running and shaping Kingstone into a company for the future. I am very pleased that I can continue to contribute and in addition to my responsibilities as the chief investment officer, I am also the president of our new COSI agency. COSI allows for the distribution of the Kingstone products away from the traditional independent agent and broker model of carefully selected and called producer partners which we call our selected producers. COSI is working with national agencies, call centers, digital agencies and as well with other carrier distribution channels. It's a bit premature to share very much detail. As always, I feel it's best to tell you what've done, not what we intend to do. I look forward to giving you more color in May, but it's my hope and expectation that COSI will be a material contributor to our business in 2019. And with that, let me turn the call back to Dale.
Dale Thatcher: Thanks, Barry. We've got some really exciting developments for COSI. And I look forward to seeing how that adds to our profit profile over time. Before I close the call, I would like to provide guidance for 2019. Based on our results for this past year, trends we are seeing in the industry, and the changes we have made and continue to make to underwriting and claims practices, we expect to end 2019 with a combined ratio excluding catastrophe losses of the 20% and 82% and an 84%, and catastrophe losses of 4 points. Keep in mind that historically most of our cat losses hit in the first quarter and we expect that again this year. With that, I would like to turn the call over to the operator to open it for questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Paul Newsome from Sandler O'Neill. Your line is now live.
Paul Newsome: Good morning. Could you talk about the expense ratio trends that may be embedded in your guidance? It looks like you have had some uptick in your expenses as you've expanded into other states and I am wondering if that is baked into what you are looking at for next year as well?
Dale Thatcher: Yes, Paul. If you look at our expenses, we like to look at both the overall obviously, so we can keep control of it, but also the underlying on the core, and we've been rock solid on the other underwriting on the core, so we're keeping that in line, not letting ourselves go crazy with the growth that we see, but we are seeing obviously investing in the future through expenses for growing our new states. That is included in our expectation in terms of combined ratio that we will continue to invest in new states. As we indicated, we're going to be opening up Connecticut and Maine in 2019 here. We're also going to be restarting Pennsylvania. So, all of those are included. We haven't provided specific guidance just on the expense ratio, but that is included in our overall projections for the year.
Paul Newsome: Can you give us any sense of what that pickup is from -- just from the new business perspective?
Dale Thatcher: You mean, as far as how much new business we're going to be producing in those new states?
Paul Newsome: No, no, as to what the impact on the expense ratio from these business efforts.
Dale Thatcher: On the expense ratio?
Paul Newsome: Just roughly.
Dale Thatcher: I think that it's going to be roughly what it has been in the last couple of years. It may have a little bit of upward pressure on it, but not a lot.
Paul Newsome: Okay, thank you.
Operator: Thank you. Our next question is coming from Bob Farnam from Boenning & Scattergood. Your line is now live.
Bob Farnam: Yes, hi there. A question on the guidance, you know, I'm looking -- if I normalize your combined ratio this year, if I back out the cats and I back out the reserve development, I think you're looking more like an 87%, it was 81% last year. Just want to know how to get from the 87% this year back to an 82% or 84% next year. What are the levers in there that's going to show the improvement?
Dale Thatcher: Well, the one thing, Bob, also that's in there, is you'll see if you look at the contingent commissions line, there is with the adverse development, that we did in effect have some adverse development on contingent commission, because that refigures the calculation, so that's embedded there too. So you have to kind of play around with that also.
Bob Farnam: Okay.
Dale Thatcher: So, it's -- we've analyzed a lot of trends. We try not to give too much credit to underwriting changes that we're making, but we're certainly cognizant of them, so we take a conservative view in terms of what we're doing and what we think that's going to end up generating by way of improvements in combined ratio. So, we try to get to what I would call a realistic expectation of combined ratio. We're certainly seeing the same pressure that the industry is seeing on property. But we think that we're going to be in a good position to be in that 82% to 84% ex-cat range.
Bob Farnam: Okay. Yes, so I'll take a look at the contingent commission component because that just seems like a pretty good amount of improvement relative to this year. In terms of the reserve development, you noted some liability claims from, I think '14 or '15 or so. Is that what was driving the development this quarter?
Dale Thatcher: Correct.
Bob Farnam: Okay.
Dale Thatcher: Yes, so it's just a -- it's a couple of old liability claims in the commercial line side of things. So, you know, it happens now and again, one of the things is that as given our size and our reserve -- overall reserve position size, what would just be a rounding error in larger companies plays a significant in our numbers.
Bob Farnam: All right. Okay, thanks.
Dale Thatcher: Sure.
Operator: Thank you. We've reached the end of our question-and-answer session. Let's turn the floor back over to management for any further or closing comments.
Dale Thatcher: I thank you all for participating today. If you have any additional questions and would like to contact us, you can contact either Amanda Goldstein or myself, and we'll be happy to discuss with you our results for the quarter. With that, I wish you a good day. Thank you.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.